Operator: Good morning, good afternoon, everyone. Welcome to the Golar LNG Q2 2020 Results Presentation. My name is Iain Ross, I’m CEO of Golar LNG. Today, I’m joined on the line by our new CFO, Callum Mitchell-Thomson; and Stuart Buchanan, Head of Investor Relations. We’re also pleased to have Eduardo Maranhao, CFO of Golar Power, on the line to participate in today’s call. I’d like to draw your attention to forward-looking statement on Slide 1. And if we turn to Slide 4, let me give you some highlights before Callum takes you through the numbers in more detail. Today, we report an adjusted EBITDA of $67 million on revenue of $102 million for the quarter, which is driven by a solid FLNG performance and better seasonal results in shipping. And again, we commend the effort of our whole team in keeping the business running remotely and to our offices and ratings on board who’ve coped with longer work cycles than normal and dealing with all sorts of restrictions and constraints in doing their jobs. And I am pleased to report further improvements in our ability to crew change, with most of our people now having been changed there. In shipping, our time charter earnings of $45,000 per day for Q2 represents an 88% rise over the same period last year. We continue to derisk our shipping portfolio and ended the quarter with a shipping revenue backlog of $105 million. Our FLNG operations maintained 100% commercial uptime through the quarter, with a further 6% reduction in operating costs compared to the first quarter and stable EBITDA generation. And in downstream, Golar Power received full capacity payments on Sergipe and Nanook, with Golar’s share of that equating to $19 million of revenue, less operating costs. The small-scale rollout was boosted by the signing of a partnership with Galileo, and the MOU signing with Norsk Hydro for the provision of LNG and regas capacity into the Alunorte Alumina refinery in Brazil will reduce the refinery’s CO2 output by some 600,00 tons per year. That’s equivalent of the carbon capture of around 10 million tree seedlings planted and grown for 10 years. It’s a great ESG story. More details on these segments later. Let me now hand over to Callum to take you through the numbers.
Callum Mitchell-Thomson: Well, thank you, Iain. Good morning, everybody. If you turn to Page 5, the second quarter 2020 financial results are shown in more detail here. Iain mentioned the $103 million of operating revenue. You can see that in the blue column. That is a 14% beat on the consensus $90 million for the quarter and is achieved with the stability of the $55 million of FLNG, as Iain mentioned. Given Hilli’s stability, that is a very stable and well-performing asset. And then secondly, $48 million of operating revenues from shipping and corporate, which is down due to the typical seasonality that Iain referred to in TCE rates but is an improvement over Q2 in 2019. That change is largely driven by the reduction in TCE rates, partly offset by some additional improvements on vessel management, which I’ll go to in a second. That produced a net loss for the quarter of $156 million. That net loss is largely driven by the $135.9 million impairment that we took on our shares in Golar Partners. If you remember, we own approximately 33% of that business, and U.S. GAAP requires us that at the point that we feel a drop in the stock price as anything other than temporary, then we need to take that impairment. We’ve written the business down to the current market level, which is again a U.S. GAAP requirement and something we’re happy to do. That revenue performance of $103 million generated the adjusted EBITDA of $67 million that Alex – that Iain referred to. That in itself is a 23% beat versus NASDAQ EBITDA consensus for the period, and that 23% beat is based off the 14% improved beat on revenues, plus some cost-cutting that we’ve managed to achieve that I’ll go through on the next slide in a second. That $67 million is broken down by the $41 million out of FLNG, again stable over the quarters, the stability that Iain referred to, plus $32 million from shipping, which is down due to the seasonality on Q1 but is an improvement on the same quarter Q2 2019. Final point to note on this page is our cash position. I think we’ve committed to you at the start of quarter one to manage – during quarter one to manage the cash position and to preserve liquidity in keeping with many companies in the COVID-19 crisis. And we’re pleased to see and we’re pleased to show that broadly speaking, our cash position is stable, and that has largely been achieved back to the cash generation in the business, plus the refinancings that we’ve managed to achieve, one of which are ahead of schedule, which we will go into in more detail in a second. So adjusted EBITDA of $67 million, a 23% beat on consensus; stability in FLNG and seasonality in shipping, partially offset by cost cutting. If you turn the page to Page 6, adjusted EBITDA development over the last 12 months, you’ll see the variation on the quarter Q1 on the left-hand side. We referred to the reduction in TCE rates down to the $45,000, and that is – the impact of that is set out on a – you can see in red of the $20 million or so. And then working your way down the page, you will see the decrease in expenses that I referred to, to get us back to partially offset that seasonality. It’s important to note that, that expense reduction is a function of two factors. The first is some good work by the team in terms of cutting expenses, but it also relates to the impact of COVID-19 as with many other businesses. So we’re still working our way through how much of – once were the global pandemic to ease in business to return more to normal, how much of expenses will come back. So you should not see all of that expense reduction as being a reduction in through-cycle run rate but partially so. It’s also important to note on the right-hand side of this page that our LTM adjusted EBITDA is broadly stable over the past 12 months. If you now – I promised to talk about cash and liquidity in more detail. If you turn your attention to the next page, Page 7, liquidity development for 2020. The bars on the top replay to you what happened in Q1. You’ll remember from Q1, our cash balance at the end of 31st of March was $235 million. That is shown in gray in the middle of the page. And then the movements from that going forward to the 30th of June, the $225 million balance that we currently have is set out. Effectively, operating cash flow positive, less than in Q1 reflecting the seasonality we’ve just discussed, partially offset by some CapEx. Debt service is stable, some other movements, and then the Bear refinancing. We’ve committed in Q1 that by Q3, we would refinance three vessels, and we’ve achieved the Bear early. That is a refinancing that’s given us $40 million of additional liquidity gross, which as you’ll see in the bullets below is effectively $38 million of unrestricted cash. The reconciliation between the two is set out later, but broadly speaking, there is some of the debt service associated with the Bear included in the $80 million debt that is shown on the bar chart. What’s the outlook for the rest of the year? There’s no real change given what we said in Q1, again reflecting our plans and stability. We’re in the process of refinancing the $150 million bilateral loan, which is due in November 20, and the $30 million outstanding margin loan due August/September 20. We had committed to put in place a revolving credit facility with a number of banks. Discussions there are very well advanced and positive. And while we’re not finished, we had said that we would aim to have that done in Q3. And we feel that, that is very much on track. In addition, we’ve had two routine refinances, which we’ve committed to, the Frost which – and the Seal. The Seal will not generate any additional liquidity. That as we’ve said previously, is just a removal of the put option that will occur in January next year. And the Frost will generate additional liquidity. And with that vessel, I feel we have term sheets broadly agreed but are working our way through due diligence and other items with the lenders. Naturally, that refinancing is obviously subject to market conditions, but as we see it today, we feel broadly positive about that. Again, we’re comfortable and happy to repeat the last bullet point on the page that we mentioned in the previous results, where we said based on achieving these now three, previously it was four for the refinancing, we feel between that, the anticipated CapEx, debt savings and operating cash flow, we feel that is sufficient for our needs for the remainder of 2020. Again, no real change. So stable cash balances, and the Bear refinancing achieved one quarter early. With that, let me turn you back to Iain to take you through shipping in more detail.
Iain Ross: Thanks, Callum. If we turn to Slide 9 and shipping, the second quarter saw a continued decline in TFDE spot rates to around about $30,000 a day for much of the period before starting a slow recovery post quarter. These lower rates resulted from a combination of seasonal LNG demand decline and lower overall global economic activity resulting from the COVID pandemic. For the U.S., cancellations kept ton miles low during the quarter, but we still expect a degree of slow steaming and storage to emerge towards the end of the year, boosting rates over the northern winter before overall volumes pick up again in 2021. Our shipping strategy continues to contribute well towards our TCE protecting the downside through the shoulder season, which is clearly illustrated in the graph on Slide 9. If you compare the last three quarters, so Q4 2019 through to Q2 2020 with the prior corresponding 12-month quarters Q4 2018 through to Q2 2019, we’re generating significantly more adjusted EBITDA, and that’s largely driven through the commercial shipping strategy and associated increased utilization of the fleet. On Slide 10, you can see we’ve offset some of that seasonal decline in rates through decreased costs, as Callum showed you, albeit that some of these operating cost reductions will be incurred later in the year as we implement some deferred maintenance. But we have implemented permanent cost reductions, and we’ll continue to seek more. Despite the burn of the backlog during the quarter, our backlog remains very strong compared to 12 months ago. And you can see that in the picture on the right-hand side with around half of the backlog on fixed rates and the other half on some form of market-related or floating-rate structure. We’re focusing on building backlog and managing our costs. And at this stage, we expect Q3 TCE to be $35,000 per day. Whilst these lower LNG prices are not great for the current shipping market, we believe that lower LNG prices will continue to stimulate LNG demand as an alternative and cleaner fuel compared to coal and other more polluting fossil fuels. Lower pricing of LNG now will accelerate the use of LNG as a transition fuel for the next 10-plus years, leading to increased demand for liquefaction. The LNG producers will be looking to develop liquefaction projects at a lower cost. And with an associated increase in LNG volumes being produced, this will in turn lead to increase demand for shipping in the future. Golar is unique outside the oil and gas majors and NOCs in participating in both the midstream production of LNG and the downstream distribution of LNG to local gas and electricity customers. Turning now to the production of LNG, in our case FLNG, on Slide 12. Our FLNG unit Hilli Episeyo offshore Cameroon has delivered another steady performance in quarterly earnings, as Callum explained. We’ve offloaded 42 cargoes, maintaining 100% commercial uptime and have produced over 2.5 million tons of LNG since the unit came on stream in 2018. We continue to have an ongoing dialogue with Perenco, our customer, on the potential for increased throughput on Hilli, but nothing further to report this quarter in terms of concrete agreements. And we continue to receive incoming interest for the use of Hilli post the Perenco contract that runs for the next six years. Turning to Slide 13. As previously advised, BP, a customer for the 20-year FLNG Gimi lease, an operating agreement, sent Golar with an FM delay notice as a result of the COVID pandemic and has subsequently maintained its claimed estimate of that delay as being around 12 months. Unchanged over the last quarter has been the impact of the Singapore circuit breaker as the country’s COVID-19 response is known and the extent to which that shutdown has temporarily impacted the Keppel Shipyard, our contractor in Singapore. The yard effectively reopened last month, and Keppel is now ramping up the workforce in compliance with the government restrictions with around 500 workers currently back on the project in accordance with the restart plan. So, my three brief points to make up Gimi this quarter are: firstly, we continue to be in active and constructive discussion with BP, our partners, our financiers and our contractors on the matter; secondly, the rescheduled program that takes into account the delays caused by the Singapore shutdown; and thirdly, whilst not finalized, we anticipate satisfactory closure on this in due course, and we don’t expect to have a material increase in the total project budget. And the overall delay in the project of around 12 months, driven by BP’s time line, will correspondingly improve our near-term cash flow through delayed equity injections into the project. And I hope you’ll understand that specific details of these discussions do remain confidential at this time. Briefly, on the Viking FSRU Conversion project, the project team and contractors are working hard to mitigate any COVID-related challenges. We are now planning for the vessel to depart from China to Europe late September, with vessel delivery upon commissioning and completion by the year-end according to the original plan. And on the FLNG pipeline, we’ve extended our collaboration agreement with one IOC to explore applications for FLNG in their portfolio. And our Mark III newbuild continues to make progress in both refining the design and identifying real deployment opportunities. We believe that our simple process configuration, combined with a “design one, build many” mindset will serve to keep costs down, schedules short and payment terms achievable. And importantly, we also believe that our energy management system delivers a superior efficiency compared to many onshore facilities, resulting in competitively low carbon emissions on a like-for-like basis. Turning now to downstream and Golar Power’s progress over the quarter. In terms of development, progress was made on a number of fronts, which we can see on Slide 15 with further details on Slide 16. The signing of an MOU with Norsk Hydro will involve Golar Power delivering gas to the Alunorte Alumina refinery in Barcarena. This is a fantastic example of Golar Power bringing a cost-effective solution to a customer that will not only pay less money for fuel, but will significantly improve its CO2 emissions. This commercial customer, together with the previously discussed 605-megawatt PPA award, underpins Golar Power’s investment in the FSRU terminal at Barcarena with FID anticipated around the end of the year. The terminal will then be a subsequent foundation for the rollout of small-scale distribution across the State of Para. An FID for the Para station is anticipated in the middle of next year. The signing of an agreement with Galileo, and Galileo is a producer of both land-based gas and biomethane from landfills, will accelerate the development of the small-scale rollout in the Brazilian states of Bahia and Sao Paulo with operations expected to commence later this year. This agreement links in nicely the development of the previously announced partnership agreement with BR and that we can biomethane-sourced LNG to distribute as a fuel through the BR network across Brazil in addition to the previously described sources from our terminals and FSRUs. The permitting process continues for an FSU to be located at a new terminal at Suape in Northeast Brazil. The first ISO containers have been delivered into the region, and the terminal FID is expected around the year. Key regulatory and environmental licenses have been obtained for the Santa Catarina terminal, and development planning on that continues to progress. And as we continue to look at a number of international locations that may be suitable to replicate this model currently, we’re currently examining 15 separate opportunities to internationalize the business. So, some more detail in the small-scale rollout on Slide 17. The volumes available for small-scale distribution can be seen in the graph on the bottom left side of the slide, with the step increase in the size of the gray column in 2022. That’s reflecting the increased volumes available for distribution once the Barcarena FSRU’s in place. With the power stations and also in the case of Barcarena Alunorte deal, underpinning the development of the terminal and a commitment to the FSRU, I think this graph illustrates the upside potential of these vessels really well, turning volumes into dollars. And if we manage to sell half of the spare capacity of these FSRUs and get a margin of, say, $0.50 per MMBTU, that would equate to additional profit of $150 million in 2022. As a reminder, excess FSRU capacity that we can have – that we have can be utilized for three things. One, power plant expansions in merchant power in Sergipe is a good example, and I’ll talk a little bit more about that in a sec. Gas marketing, so the sale of natural gas to third parties, Norsk Hydro and Alunorte is an example of that. And then the third is breaking bulk into small scale, as we’ve discussed before. So that’s using the FSRU as a vessel for LNG storage. We take the gas out as LNG and not as regasified meter. We continue to make progress on converting expressions of interest on the small-scale line in committed contracts with a further two executed in the quarter and two more in the third quarter so far. On Slide 18 and just detailing our the merchant power opportunity at Sergipe in similar detail. The graph on the left-hand side of the slide shows the electricity spot prices in reais per megawatt hour from December 2016 to the end of 2029. And it clearly shows the seasonality during each year, and that’s driven by a combination of demand and rainfall, and the rainfall determines whether the hydro baseload is adequate or whether the fossil fuel plants need to be called to dispatch and overlaid on that are two lines. The top line, the blue one, is Sergipe dispatch breakeven cost. And that line implies that in theory, the plant can be called to dispatch whenever the prevailing spot price is above that line. And the lower green line represents the merchant breakeven cost of running the plant independently from the PPA. The purchase price of LNG influences the position of this line. And here, we have it with an LNG purchase price of $3 per MMBTU, which is conservatively high against today’s prices. The team at Golar Power run a back test of the opportunistic merchant power income that could have been made based on the available merchant dispatch windows over the last three years, and this analysis shows that Golar’s share of that additional profit could have been around $70 million. That’s the Golar LNG share. This translates to around $16 million to $18 million net profit for burning a full cargo of Nanook over a two-week period, and remember that we’ve got 60 days notice for any dispatch under the PPA. I mentioned at the start, we’ve got Eduardo on the call today as I know there an increasing amount of – there’s an increasing amount of interest in Golar Power development story, and he’s there to answer some questions. We turn now to Slide 20, highlighting some of our ESG projects, which cover our five focus areas and include safety and management engagement campaigns on both the vessels and active engagement with engine manufacturers; to understand key drivers of methane slip, what we can do about improving performance; mental health support of our people, especially as a result of COVID-19. On the right-hand side of the slide, there’s some pictures showing the results of placing a Golar-designed hydropower turbine into the flow from the seawater discharge in the regas system and using that to generate energy to power the system. This simple design provides the FSRU with a 7% saving in fuel saving in fuel efficiency, and importantly an estimated saving of 5,000 tons of CO2 per year. So, just some examples of what we’re doing in the space of ESG. So, summarizing our priorities on Slide 21 [ph]. We will continue to derisk shipping and focus on backlog growth. In FLNG, our focus is to conclude the position on Gimi and continue to progress discussions for potential expansion and extension of Hilli, and of course the development of the newbuild Mark III and future opportunities. In downstream, we’ll continue to push a build-out of small-scale and develop the terminals at Barcarena and Suape. We’ll focus on concluding the refinancing activities that Callum discussed, and of course, we’ll continue to push for a sustainable reduction in G&A and simplification of the Golar group structure. With that, I’d like to hand you back to the operator for Q&A.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Randy Giveans [Jefferies LLC]. Please go ahead, your line is now open.
Iain Ross: Hi, Randy.
Operator: [Operator Instructions] I think – I’m not sure he disconnected, but we’ll just take the next question. It’s coming from Jon Chappell [Evercore ISI]. Please go ahead.
Jon Chappell: Thank you. Good morning or good afternoon, guys.
Iain Ross: Hey, Jon.
Jon Chappell: Iain, first one for you is strategic. So the press release says the strategic review has been concluded. The Board’s approved a range of specific options. But if I look at this last slide you had, it seems like every kind of near-term priority is maybe blocking and tackling within the silo. So, as we think about maybe the imminent breakup of the company and the three different business lines, which do you view as kind of stand-alone at this point with the ability to kind of self-finance themselves? And which may be need to be together as in their different stages of the evolution?
Iain Ross: I’ll let Callum comment in a second, but rather than commenting specifically on your question, I’d really refer you to the overall strategic plan. So the GLNG Board has approved the examination of a range of strategic options management that we’re now developing. And as these strategic options mature and potentially become actionable, we’re going to take them back to the Board for consideration. And if approved for execution, we’ll announce something at that time. But Callum, do you want to add any more color on – for Jon?
Callum Mitchell-Thomson: Yes. Sure. I mean Jon, your point about blocking and tackling is right. That’s what we’re – we have two jobs. We have the blocking and tackling, which we can set out in real detail, which we’ve done, which is what we’re doing and what you can expect from us. That’s very different from the strategic review and the structure of the group. So that’s why it’s not on the page. The other reason why it’s not on page is if you remember from Q1, I think we’ve got broad alignment from the group that they were – got approval from the Board to target the four legs: FSRU, FLNG, shipping and Golar Power and to simplify and put the group into those four legs and ensure that each one of them was stand-alone. So that’s what we got Board approval for. We then went being back to the Board in this quarter to say here are the routes to achieve that. So not the destination, but the journey together, here are the steps we think we need to take to implement that. And we gave the Board a range of options, which we referred to in the press release. And the Board has selected some for us to then put in more detail to see if we can get them across the line to execute them, and that’s what we’re doing. And once we’ve reached that point where we think they’re executable, we would go back to the Board to say, “Here’s what we’ve done. Do you approve?” And then we’d be in a position to make an announcement. And then I go back to your question, there are two bits in your question. One was a sort of – I think there was an assumption in your question, which I think probably takes us a step too far, which is as you said as you think about the imminent breakup of the group. I don’t think we don’t see it as neither imminent nor a full breakup of the group. So, let me sort of pick you up on that if I might. I mean the broad picture of four stand-alone legs is where we’re going. And then secondly, to your question about stand-alone financing and which does one we see as being more or less mature, I think everybody would say that the shipping business is a business that is seeing some seasonality right now. It’s perhaps not as poor as – it’s not been the same seasonality that one had in previous years. I think you’ve seen that in the results of our sales and others. But certainly, the shipping business is one of the ones where that is probably less on the spectrum of financing. Whereas pick any one of the other businesses, they’re probably equally stand-alone. So hopefully – there was a lot in your question, but hopefully that’s covered it.
Jon Chappell: Yes, super helpful. So, procedural approval, maybe not execution approval. So on the follow-up then, clearly, you spent a lot of time, you made a lot of headway in Brazil. And maybe not quite a success story yet, but clearly a path towards that. The interesting commentary about replicating it in other regions. I guess the question there is, without even naming regions, are the opportunity sets similar? And are there economies of scale in the procedures that you’ve taken to penetrate the Brazilian market that you could be much quicker to market from kind of start to finish in some of these other regions you’re contemplating?
Iain Ross: I think that’s a great question for Eduardo.
Eduardo Maranhao: Yes. Sure, Jon. Nice to meet you and happy to answer that one. So I think when we look at our global ambitions for Golar Power, we definitely will try to replicate what we have been doing in Brazil, and we really see Brazil as a stepping stone for our global business plan. I think one of the key fundamental strategies of our development will be to try to partner with experienced local players, such as the ones that we have identified in Brazil in the case of Sergipe, in the case of our small-scale LNG distribution partnership with BR. So, we are actively discussing with a number of potential partners in some other geographies. If I were to highlight just a few key areas, I would say Southeast Asia is definitely one region that we definitely see as a potential area for development of our strategy as well as some other countries in West Africa as well as in other countries in Latin America. I think those are the areas which we believe we have a very strong position as of today.
Jon Chappell: Okay. Thank you, Eduardo. Thanks, Callum and Iain.
Iain Ross: Thanks, Jon.
Operator: Thank you. Your next question comes from the line of Ben Nolan [Stifel, Nicolaus and Company]. Please go ahead, your line is now open.
Ben Nolan: Yes, thank you. And maybe, Eduardo, I’ll follow with you. Obviously, I think as Jon mentioned, a lot going on with Golar Power at the moment. And what I’m hoping that you might be able to do is just maybe put a bow on it a little bit or take all of those moving pieces and codify them into a few simple numbers, specifically sort of based on what you have line of sight on and including a lot of the smaller things. How much is sort of the CapEx requirement going forward? And then also again, maybe not even including any merchant power but sort of as you do include a lot of the smaller scale and incremental developments, what do you see as sort of the potential for cash flow generation on an annual basis out of, let’s say, Brazil specifically but that being a proxy for Golar Power in general?
Eduardo Maranhao: Okay. Hi, Ben. I think when you look at the future developments of our future projects, I think it’s important to highlight the fact that we are yet to take FID on certain projects, so those detailed CapEx figures as well as the full EBITDA projection will be announced by that point in time. But what we can say is that the ability to generate, for example, merchant power will not require any further incremental CapEx from what we have in place today. So the Golar network is fully connected to the power plant, which is able to generate power during the times of the year when it’s not generating under the PPA. So, this is definitely something that is incremental whenever we are able to run the plant. Another important point is with regards to the small-scale strategy, which is highly modular in a way that the CapEx will be proportionate to the number of contracts that we’re able to secure. So, we are not going to go speculative, spend a substantial amount of money without having the corresponding contracts fixed. So I think that, that growth goes hand in hand with the commercial development with regards to the contract – the offtake contracts that we’re able to secure. When we look at Barcarena, I think we have announced the MOU with Norsk Hydro, which is a very important milestone towards our FID, which we believe we’ll be in a position to take a final investment decision in the next four to six months. So, I would say that with regards to the future CapEx plans, they will be more detailed in the future as soon as we take a fund investment decision on those projects.
Ben Nolan: Okay. All right. And I’ll leave it at that, I guess. But another thing that – maybe jumping over, I guess, from my second question over to the FLNG side. Obviously, it’s been pretty slow going for a while. I’m curious, firs of all, if there’s been any change in the pace of conversations, maybe also I know that you were selected as one of the potential participants for a possible deal in the Mediterranean and Chevron moving in there, whether anything has happened with that. But maybe just a little bit more of a sort of a pace of progress with respect to conversations and discussions on the technology side.
Iain Ross: So Ben, I’d describe the pace of conversations is steady. So it hasn’t disappeared, and it hasn’t really accelerated. And I think that’s to be expected with all the turmoil in the world that’s going on. And I think it’s a good thing that despite the fact that we’ve got low LNG prices, we’re still having active dialogues with potential customers. As I mentioned, we had one arrangement with one of the bigger IOCs that expired, and they’ve asked to extend that for another year to continue looking at possible applications of our technology to their development. So, I think it’s there. And as I’ve said many times before in the call, as the supply/demand lines cross in the future and more LNG needs to be built out, we believe we’ll be at the front of the queue, because we are the cheapest and fastest liquefaction projects that can get to market. And we don’t have any of the issues that onshore-based facilities have around land, taking on land and dealing with local labor issues and all that kind of stuff. So, we think we’re super competitive. And I’m very pleased with the development in the Mark III work that’s being done because that’s ending up at this stage to look like it’s as competitive in dollars per ton as the Mark I, the smaller facilities, and we can do up to 5 million tons in those vessels. So, really looking forward to continuing the discussions with potential customers on that.
Ben Nolan: Okay. And on the Mediterranean side?
Iain Ross: No, nothing’s changed. You’ve said – you seen the news. I mean I don’t expect anything will happen to that deal with Chevron closes. I wouldn’t imagine any movement, and that will happen, but it’s really something to ask Noble.
Ben Nolan: Okay, great. Appreciate it.
Iain Ross: Thanks, Ben.
Operator: Thank you. Your next question comes from the line of Randy Giveans [Jefferies LLC]. Please go ahead, your line is now open.
Randy Giveans: Gentlemen, yes. Sorry, my call dropped earlier. I think Chappell cut my phone line, but back here. Now first, congrats obviously on the Golar Bear refinancing. Doing what you said you were going to do there is good. Now what is the LTV of that 120 million sale-leaseback? And what are the terms of the financing? And I guess following that, if you plan on dropping your debt into each entity, what happens with the converts?
Callum Mitchell-Thomson: Good question. So, it’s not – we don’t want to disclose publicly what the LTV is on the Bear so – nor the terms. You can think of the terms as being broadly similar to previous financing, maybe a touch longer in – maybe a bit longer in duration. So when we look at it, we think it’s commercially attractive business for us, because it both increases leverage but – increase in good liquidity but increases duration. So we think that is good. I’m sorry that I’m going not going to answer your LTV question, but that’s sort of – that’s reasonably market sensitive, and it’s dependent on each blender. To your question about the restructuring of the business and putting the businesses on a stand-alone basis, yes, we do. Yes, we do want to do that. But that in – on a through-cycle basis, we’ll still generate free cash flow to equity up to the group. And one of the things that we feel confident about is that by having these four legs, it increases our financing – financial flexibility to match, as we’ve discussed in the past, investor appetite, risk/return with – the risk/return profile of the different businesses. And that’s something that’s very important to us, and I think it’s important to our investors as well. So, I’ve slightly not answered your question on what are our plans for the converts, because we will announce anything when we to have something to announce. And when I’ve been asked about – when we’ve been asked about converts in the past, we’ve said, yes, there’s a clear – given the state of the convert market, there is a clear and sensible refinancing for ALM route for the converts, but we’re prioritizing liquidity at the moment. And that’s sort of commitment we’ve made, and that’s one of the reasons why our cash flows is steady. So, forgive me for not giving you all the detail, but I hope you can see how we think of it at least.
Randy Giveans: Sure. That’s understandable. So, it sounds like you don’t necessarily have to refinance the convert if you do silo the other debt into the other entities. But I guess...
Callum Mitchell-Thomson: No.
Randy Giveans: Yes. That’s fair. And second question, turning to Golar Power and those contracts and the MOUs. I guess what specific hurdles are maybe required to convert some of those contracts and take that positive Barcarena FID in the next, I think you said, four to six months in the release?
Iain Ross: Sure. Eduardo, would you like to comment?
Eduardo Maranhao: Yes, sure. Hi, Randy. I’m happy to answer that one. So, I think the final investment decision of Barcarena is not necessarily linked to the rollout of the small-scale contracts. I think they do in some way they are complementary in their strategy, but we view them as a separate kind of a business development. So I think Barcarena, it’s much more a matter of progressing with the required permits and regulatory approvals to be in a position to take a final investment decision. We have been awarded the PPA back in the power auction that took place in October last year. And now with the recently announced MOU with Norsk Hydro, we believe that once all those permits and approvals are met, we will be in a position to take FID for Barcarena. When it comes for the small-scale contracts, I think as you can see, there are a number of contracts and discussions being taken with a number of our customers. And those customers, they range from small customers in some cases to very large industrial customers, which, despite the relatively small volumes, the conversion to LNG could require some time. So, our final commercial decision to move ahead to switch to LNG, in some cases, it does take a bit of a time. But it’s just a matter of really those customers really progressing their internal approval processes to be in a position to fully commit under the contract. So, I think we have given a breakdown of the status of the different commercial initiatives that we have today in order to provide a sense of how those discussions are progressing. What we can say is that despite the challenging environment due to COVID, we have been able to secure additional contracts. We have been able to continue to engage with all of the customers in a vehicle way. And we believe that the thesis is we’re the strongest before the pandemic, so we really believe and we are extremely confident that the business plan will be achievable according to our expectations.
Randy Giveans: Excellent. Thanks for all that color. And I guess finally, just on that, is there an expiration date where they have to kind of secure or convert those MOUs or contracts? Or is it just kind of whenever they’re ready?
Eduardo Maranhao: No. there is no specific deadline on those specific MOUs and LOIs. As I said, it’s a matter of, in some cases, some commercial aspects. In some others, some technical requirements that take a little bit longer for the customers to take a decision to commit to LNG.
Randy Giveans: Got it. Good to hear. That’s it from me. Glad to see Golar above double digits. So, keep it going.
Eduardo Maranhao: Thanks a lot.
Iain Ross: Thanks, Randy.
Operator: Thank you. Your next question comes from the line of Mike Webber [Webber Research]. Please go ahead, your line is now open.
Mike Webber: Hey, good morning, guys. How are you?
Iain Ross: Hi, Mike.
Callum Mitchell-Thomson: Hi, Mike.
Mike Webber: So, the first question is on the strategic review and just to kind of follow up on Jon. So for – I guess for those of us that have been following Golar for a few – for several years, it can feel – you feel a little bit like window dressing in terms of the technicalities of completing a strategic review and putting it to the Board. I mean this review in effect has been going on for several years at this point. So, I’m curious as you stand now, what are the major hurdles? And are you any more or less likely to involve third-party capital today than you were, say, 1 year, 1.5 years ago when – towards the early innings of this review?
Iain Ross: Let me tackle that. That doesn’t feel that one is where do we want to go. We did that last quarter, four legs. Step 2 was identified the routes to get there. We did that this quarter. Board approved us to move those routes to get them executed. That depends on agreements that need to be struck and plan put in place that involves other people. And so the Board said, “Yes, go ahead and have those conversations. Get that organized,” in some cases. In other cases, it doesn’t, and we’re getting that all lined up. And then as soon as we’ve got that lined up, we go back to the Board and say, “Here we go.” And then they’ll either say yes or no. So that’s the sort of – that’s the clear path. I can’t draw a conclusion from the past before certainly at least I got here. To your question about involving third-party capital, I now speak personally, I think the benefit of having – I think we’ve signaled quite clearly. The benefit of having four legs is that it does, as we’ve said in the past, it allows us to align the business, the risk/return of each one of those businesses to the risk/return of different sector investors. So, I think there’s a benefit there of doing that. And one wouldn’t seek to get a line like this if it wasn’t to make it easier for third-party investors to come in, right? So I’m sort of answering your question, and that’s why we’re doing it. So that makes all the sense in the world. What I can’t do is prejudge a Board prejudge a Board decision or market conditions or interest from everybody else because that’s outside my control. But the purpose of getting agreement to line up in those four columns is to make this easier, and the agreement and the debate with the Board is to identify the path to get there. That’s sort of...
Mike Webber: Yes. No, the angle of my question is that this – in one form or another, let’s put it this way, this review has been going on for several years, right, and so there are a number of solutions that have been on the table, some of which I’m sure involves third party or private equity, some of which they don’t. And I guess what I’m asking is, as we are now further into, I guess, this iteration of the strategic review, is it fair to say it’s less likely to involve third-party capital? And/or is it something that you think would be done in a series of transactions or maybe as a group of kind of a bundled transaction where we come in one day and we see a release that clearly lays out what the new Golar structure would look like?
Iain Ross: It’s clear in my mind, Mike, what it needs to be, but I’m one of – I’m part of the team, right, and so it’s about getting that organized. So, it’s not a lack of certainty. But one has to build all the pieces together and get everything ready in, and there’s a lot of bits and pieces that need to – moving parts that need to work. So that’s how I see it. To your question about is it a series of steps, is it a bundle? That depends on the path that the Board chooses and different steps. So it’s sort of bit of both would be my view. But here is how...
Mike Webber: I’m asking whether – I was asking whether one’s more likely or not now at this – that we’re a few years into it, I guess, of multiple iterations of this. Just trying to see how that process has changed and what we should expect without holding you to a specific answer. Just a bit more color on that in terms of what the most likely scenario is going to look like.
Iain Ross: Yes, I’m going to pass that one, if I can. I'm sorry because it does – it requires agreements to be struck with other people, and it requires Board's approval and all kinds of different steps, right? And it would be wrong with me to give you guidance on that now when those pieces are not in place. I'm clear where the pieces need to move. But until they've moved, I really shouldn't – I shouldn't – I wouldn't be doing my job right if I gave you the detail that I have in my head about what I think is going to happen, right? So I'm sorry, but we need to wait for the sort of agreement to be struck and the Board to approve or not as I think you said.
Mike Webber: No, we've been waiting. I guess I'm just looking for like any indication of what – how it's progressing, but I can take that off-line. Eduardo, on the downstream, the part of what makes Golar Power so unique and what has made it so successful relative to its peers has been really kind of thoughtful and deliberate strategy to kind of surround Brazil. So when you've got a lot of competitors kind of swinging and missing and feeling like they're stretched a bit on the global – like a global scale, you guys have had success really kind of being all in on Brazil. So within the context of expanding that elsewhere, I'm curious, is that – to what degree is that a function of maybe having picked the majority of the low-hanging fruit you think are there – is there in Brazil? And to what degree is that a function of looking at markets with maybe more amicable power auctions? Or I'm just trying to get a bit of context around how realistic it would be for you to go all in on another geography, I guess, and why considering the degree of success you're having there.
Eduardo Maranhao: Okay. Hi, Mike. How are you doing? So, I think when we look into Brazil, I think it's important to note that we have been developing this opportunity for over the past five years now. That was when we were awarded the PPA in Sergipe back in April 2015. So, I wouldn’t say that we have gone all in from day one. I think that our exposure to Brazil, it has grown over time. I think it’s – the more we have been getting to know the market and being exposed to the opportunity, I think we increased our presence in the country. I think what was actually extremely important to our current status of – in the market was the fact that we were able to identify very strategic partners. In the case of Sergipe, we teamed up with Barcarena in Brazil. In the case of a small-scale development, we teamed up with the BR Distribuidora. Golar has been working with Petrobras for a number of years since 2007. So I think that all helped to position ourselves to where we are today in the Brazilian market. And I think that particularly to that market, everything that is going on with regards to the opening up of the gas market is extremely positive to our thesis, and this will help to accelerate the development of our strategy across the whole country. But when we go and when we look at the global growth strategy, I think it’s important to highlight that one of the key pillars of our strategy is to build strategic hubs from which we are able to not only sell power, able not only to sell gas, we’re able not only to sell LNG, we’re able to do a number of different activities, which as we build up those incremental revenues, they become extremely attractive. So in some cases, we’ll be able to understand an investment in a given terminal with a relatively low rate of return. But as we grow and as we establish the presence, I think that the moat will become extremely attractive. We used to say that in certain countries, whoever comes first will be the last one to come because it takes a long time to establish an LNG terminal from a regulatory point of view, from an environmental point of view and from a commercial point of view as well. So I would say that different countries will require different strategies. One of the key ways that we believe that we’ll be able to be successful in that will be to find the right partner in the right market.
Mike Webber: Got you. Would it be fair to assume – and this is the last one, I’ll turn it over. But in terms of kind of laying the groundwork for one of these strategic hubs, is that something where you would want to have boots on the ground and kind of deliver – kind of develop some degree of local expertise while you’re sourcing that partner? And is that something you – should we see noticeable CapEx, if you will, even if it’s on the smaller side as you look to kind of build out that presence in a specific hub?
Eduardo Maranhao: Absolutely. I would not say a very relevant CapEx in the beginning. But for sure, we intend to increase our presence in the strategic markets by having boots on the ground and having a dedicated team in certain strategic locations. I think that’s a key fundamental strategy to achieve that growth.
Mike Webber: Got you. Okay. I’ll turn it over. Thanks for your guys.
Operator: Thank you. Your next question here is coming from the line of Joe Ringheim [ph]. Please go ahead your line is now open.
Unidentified Analyst: Hi, gentlemen. How are you?
Iain Ross: Hey, Joe.
Unidentified Analyst: So Callum, first on financing and liquidity. You’ve refinanced the Bear and said that you expect within the coming quarters to refinance Frost and Seal as well as the loan security against the equity in power and the margin loan. Could you provide any details around how much cash you expect to release on these refinancings?
Callum Mitchell-Thomson: Yes. Nothing, zero cash release on the Seal. That’s about removing the put that occurs in January or at least addressing the put that occurs in January. For the Frost, I think we had guided previously in last quarter with setbacks. We were expecting to generate between $50 million and $90 million of additional liquidity across all the vessels, and you will note that we’ve just done the Bear that generated $40 million. So I think for the Frost, you should expect us to make good on that commitment and generate something in the region of the balance needed to achieve that, so probably around another $30 million or $40 million. That is – that takes care of the vessels. When it comes to the RCF, I think the additional liquidity from that will be minimal. We would expect that we’re refinancing a $30 million and $150 million, and we’ve said that we were looking at an RCF in the region of $200 million and above. So you should assume that the additional liquidity from that is small.
Unidentified Analyst: Thanks. And then regarding Power, you’ve announced several partnerships and downstream development in Power recently. And in my opinion, clearly capitalizing on the presence in Brazil, and as Eduardo is pointing out, you could also be able to replicate the business all in other regions. My question is New Fortress Energy, a company involved in internal and downstream operations in other regions, do you consider that company to be a relevant peer for Golar Power? And given the metrics and also that the stock is that up 70% this year, is that something you’re monitoring in order to consider a potential listing of Power?
Eduardo Maranhao: Joe, good to talk to you. I would say that if you look at our businesses, we do have some complementary and some similar activities and business lines as New Fortress Energy. I think that we view the market on which we are most exposed, which is Brazil, as a market big enough for us to dedicate most of our time, as we have been doing over the past four years since the foundation of Golar Power. We believe that as we have said earlier today that the view is really the stepping stone for our global growth ambitions. If we get it right in Brazil, we’re extremely confident that we’ll be able to replicate in some way, not necessarily with the same strategy, but we’ll be able to replicate a hub strategy in other countries. When you look at all the work that New Fortress is doing in the countries they operate, I think in a way, there are some similarities to what we’re doing. But we believe that our businesses and the activities that we’re pursuing in Brazil, they are in a way broader in the sense that we are able to generate power, we’re able to capture the upside and the incremental revenues from merchant power. We are in the downstream sector. We are positioned with our small-scale LNG distributions. And we are positioning ourselves in a way to capture the spreads between the substitution of more expensive and more pollutant fuels such as diesel, LPG, heavy fuel oil for LNG. So I would say that the range of activities that we are developing and we are currently operating are in a way wider than what they are currently doing.
Unidentified Analyst: Thanks for explaining. I think that’s it from me. So have a good one.
Eduardo Maranhao: Thanks, Joe. You too.
Operator: Thank you. Your next here is coming from the line of Chris Wetherbee [ph] [Citigroup]. Please go head. Your line is now open.
James Yoon: Hey, guys, good morning and good afternoon. This is James on for Chris. Just wanted to touch on the small-scale distribution detail you provided. How should we really think about sort of – what should we really expect from the LOIs and then conversions to executing contracts and then sort of like EBITDA per contract on average? Just trying to get a sense of really what we should expect from that either in the near term or maybe a few years out?
Iain Ross: Eduardo?
Eduardo Maranhao: Sure. Hi, nice to talk to you. I think that when we look at the pace of development of our small-scale strategy, as I said, despite the COVID environment, we have been able to continue to execute and to continue to engage with customers. We believe that we’ll be able to accelerate the pace of conversion from LOIs to actually firm contracts over the past – over the next few quarters. I think it’s important that we bring online the other terminals that we are developing, such as the Suape terminal, which is one initiative that we are extremely excited with. And we believe that we’ll be in a position to – in some point next year to commence operation of that terminal. And I think there’s always a bit of a chicken-and-egg situation in which some customers, they want to see the commencement and the real start of the activities to really engage. So as you imagine if you have a sizable industrial operations and something that is – the energy supply is a critical component of your operations. So it’s not something that we can switch from one day to the other without having 100% sure that what we are promising will be delivered to them in accordance to all the specs and to the level of reliability that is required. So we believe that once operations start, the pace of conversion from LOIs to actual contracts will accelerate.
James Yoon: Got it. And then any color on how to think about the average EBITDA or maybe ranges for the executed contract?
Eduardo Maranhao: Currently, I think we are just disclosing the number of actual contracts. As you can imagine, those contracts, they vary quite a bit in terms of volume and also in terms of margin. I don’t think it will be appropriate to give a specific margin or specific average volume as of today. I think we – as soon as we commence operations, we’ll be able to disclose a bit further those information.
James Yoon: Actually, just before I hand it over, just maybe to follow up on that. Can you just maybe give a sense of the direction possibly? Will you imagine to stay relatively stable? Or should it just move – take a step function higher at some point as the project ramps up further?
Iain Ross: Eduardo, that’s a further question on the small-scale ramp-up.
Eduardo Maranhao: Yes. So as I was saying, we believe that once operations start, we’ll be able to further accelerate the pace of conversions. Another point on which we are extremely hopeful that we’re going to have a great development is with regards to our partnership with BR Distribuidora. As it was announced, we entered into a commercial partnership with BR, which can expand its scope into the form of a corporate partnership. And we continue a very close dialogue and a very close engagement with BR in order to try to develop that opportunity, which we believe is the greatest opportunity that we have when you look into the Brazilian market. I think Brazilian market has over 2.7 million trucks with the consumption of LNG equivalent volume of close to 35 million tons of LNG. And if we’re able to tap that into that market, it’s a market which is substantially big and attractive for us to pursue. So we’re very excited with the prospects of that opportunity, and we believe that BR is the right partner in the right country.
James Yoon: Okay. Thanks. I’ll turn it over.
Operator: Thank you. Your next question comes from the line of Mandy Ramat [Bank of America]. Please go ahead. Your line is now open.
Sanjay Ramaswamy: Sorry. I think the operator got my name wrong there. It’s Sanjay calling from Bank of America. Maybe just some color on the state of the capacity in the LNG market. I think, Iain, you prior mentioned that there are about 27 vessels scheduled in 2020 to be delivered and about 75 in 2021 and 2022. So maybe just your expectations on that and whether that’s changed in a pre-COVID, post-COVID. Some color on that would be helpful.
Iain Ross: I think that the – there’s two things happening. One is of course, we’ve got new capacity coming on stream, particularly out of the U.S. Some of that’s been delayed, and we’ve got a whole pile of cargoes delayed. And as we got vessels planned for delivery, there’s an anticipation or an expectation that some of these will be put back by a number of months to try and align themselves. And most – and forgive me, I forget the exact number. But most, the majority of those vessels, so certainly over half are already linked into some of these new contracts coming on. So you’ve got a sort of linkage there, and then obviously there’s some vessels coming into the spot market. What’s also interesting is that we have a number of steam turbines in the fleet – in the global fleet, they’re due to come off charter over the next two, three, four, five years. And they’re coming off in a regular number per year. And the interesting thing for those vessels is whilst they – some of them may be completely debt-free, they have a very relatively high – I’m sorry, low operating efficiency, and for that, a high operational cost. And it will be interesting to see just how many of those can survive in the spot market. And therefore, do we see the start of the first wave of LNG carriers being scrapped? So I think the dynamic is changing over the next few years. Yes, there’s new builds, and I think there’s a deferral of new builds happening. But equally, we’ve got some long-term charters coming to the end and question about what will happen to those vessels, and then what does that do as a knock-on effect and consequence to the rest of the fleet.
Sanjay Ramaswamy: Okay. That’s helpful. In terms of percentages, would you be able to talk maybe about the percentage of those long-term charters coming to the end of that duration? Is there a split there?
Iain Ross: In terms of the number of vessels, I’d be making it up. I can get that afterwards. We can text you afterwards, we’ll give you the detail.
Sanjay Ramaswamy: Sure. That’s helpful. And maybe just to talk through the development of the Mark III, maybe just providing some color on the time line there and perhaps the different cost economics versus Hilli. I think in the release, it was mentioned that it’d be one of the lower cost per ton LNG solutions versus greenfield. So maybe just color on that would be helpful.
Iain Ross: There’s two ways to look at it. There’s the cost per ton, and we’ve been public in saying that we can do Hilli cost per ton all in for less than $500 per ton. And that compares extremely favorably with even the brownfield LNG developments around the world. So that’s a kind of a "finger in the air" number. What we’re seeing is with the new build coming through that cost to us is all of similar nature, and what that means as you translate it through is that the tolling agreement that we can offer customers on our lease arrangements is very competitive in terms of dollars per MMBtu to give us a required return on the project over the lifetime of that project. So what we’re seeing is as we’ve gone through the Mark III design, and I think surprisingly to some of our people, is that the costs that we’re able to come up with is in keeping the design simple. And I keep saying simple design, but I think it’s a very, very important part of what we’re trying to do here: keep the design simple, repeatable. And the smarts have gone into what the sort of the basic design to start with both the hull and the topsides. And as we start to push the envelope on capacity, we see the economy scale kicking in for cost per ton, and those vessels are looking like they’re going to be very competitive. And I did mention in the prepared remarks, we’re also seeing our carbon footprint of those on a like-for-like basis being globally competitive as well. So we’re pleased with the progress and still pushing.
Sanjay Ramaswamy: Sure. That’s helpful. And just maybe the time line on the Mark III in terms of…
Iain Ross: Time line on the Mark III, we’ve completed our FID. So client-specific activities, we really were in advance discussions with the yard around what EPC costs would be. What we need is a customer that’s prepared to stand up and do this with us, and we’ll be ready to go. And I think you’re talking about a four-year cycle from start to finish from the point we take FID.
Sanjay Ramaswamy: That’s all from me. Thanks.
Iain Ross: Operator, just an interest of time, can we make this a last question please.
Operator: Sure. Your next question – your last question comes from the line of Jason Gabelman [Cowen and Company]. Please go ahead. Your line is now open.
Jason Gabelman: Hi, thanks for squeezing me and taking my question. I wanted to ask on Golar Power and the cash flow that it’s kicking back up to Golar right now. Following the Sergipe startup, are you getting any distributions from Golar Power? And how do you see that evolving over the next few years given the projects that you’ve laid out to execute within Golar Power? Thanks.
Eduardo Maranhao: Hi, Jason, good morning. I think when you look at the future cash flow distribution from Golar Power, it was stated before that we intend to use that excess cash flows to fund our existing growth plans. So in a way, we are self-funding our growth strategy. And we believe that with the cash flow from Sergipe and from the Nanook, we will be able to be in a position to fully fund the development of our operations in the small scale and other projects.
Jason Gabelman: Okay. So is that to suggest no cash flow coming up to the parent right now or in the next couple of years?
Eduardo Maranhao: In the near term, we don’t expect to – we believe that we’ll be in a better position to fund the existing growth opportunities that we have in our portfolio then to distribute the excess cash flows to the parent shareholders.
Jason Gabelman: Got it. And if I could just ask a quick question on the restructuring efforts. You’re talking about entering new territories and building out storage hubs that could do multiple activities. And I wonder if you do go forward breaking up the company, do you get into a scenario where you’re now bidding against competitors for some of those other activities that you’re trying to build out from hub? For example, if you’re building a power project and you want to do it with an FSRU but the FSRU is in a separate company than the power projects in, are you then opening yourself up to potential competitors to bid on the project as well? Thanks.
Iain Ross: Let me take that one, guys. So the beauty of the exercise that Callum has explained I think very well that it creates the opportunity for investable companies that are split by asset classes, so shipping, power, the FSRU and the LNG companies. The beauty of working across the group is that we have the opportunity to collaborate. And I think if you talk about the FSRU power example, I think there’s a big difference between responding to a tender in the market to do a bareboat charter for an FSRU. And the taking of an FSRU, and as Eduardo described, putting that through development into a hub to create a very strategic asset that multiple downstream businesses can sort of develop from. And I think the – having that structure, having the assets in one particular part of the group of companies, if you want to call it that, it actually makes it easier for us to do inter-company deals and arrangements. And I don’t see that an FSRU-alone company will have the ability to do what, for example, Golar Power is doing. And vice versa, I don’t think Golar Power has the appetite to simply respond to tenders for the provision of an FSRU when it can make so much more business out of taking that FSRU and putting it to work. So to the contrary, we actually see great synergies between the groups. And the restructuring that we’ve talked about as we try to make that go forward will create simplicity in the business and facilitate that collaboration in a far easier way.
Jason Gabelman: Great. Thanks for the color.
Iain Ross: Thank you, operator. Thanks to everyone for your participation and your interest in Golar. Please stay safe in this COVID time, and we look forward to sharing our progress with you next quarter. And with that, goodbye.